Daniel Pretorius: Good morning, everybody, and thank you very much for joining us for this presentation. We're going to be looking at the 6 months ending the 31 of December 2020. With me is Riaan Davel, our Chief Financial Officer; and Jaco Schoeman, who's our Chief Operating Officer. There will be an opportunity to ask questions. We'll be taking questions at the end of the webinar, at the end of the presentation, and I'll just pass the questions on to either Jaco or to Riaan, depending on what's asked. What we reflect on the disclaimer, just in broad terms, what we'll be covering. Obviously, we are still in the midst of COVID-19, still dealing with it as a nation and also as an enterprise. So we'll be spending a bit of time talking about how we've been dealing with the challenges of COVID, both direct and indirect challenges. We'll be reflecting towards the end on what we thought was working really well for the business and what we could build on, but then also some of the emerging risks, which we're building into our investment planning, into our thinking in terms of strategy, et cetera. I'll also be talking a little bit about our relationship with Sibanye-Stillwater and how that's informing our strategy and some of the conversations that we're having. Riaan, as usual, he gets to talk to the nice part of the presentation, to the financial results. It's really been a period of stellar financial results. It was ably supported by the effort from our operations in terms of throughput and recoveries. So all of that comes through. But we are very pleased with the results that we're in a position to present today. So I'll start with the key features for the group. As you can see, we've seen a 41% increase in revenue to just under ZAR 3 billion. Our operating profit doubled compared to the comparative period to just under ZAR 1.5 billion. We had a slight decrease in gold production to just under 3 tonnes of gold. Headline earnings just under ZAR 950 million for the 6 months, and that place us in a position to declare a dividend of ZAR 0.40 per share. I'll talk a little bit about the dividend also in light of the fairly substantial cash balance that we're retaining and how that fits into our thinking for the future, also the -- just how the cash flows are made up of or how that cash balance, what it's made up of and why we're applying it in the way that we are. We saw a 17% increase in our all-in sustaining costs. Obviously, there's -- with this environment that we're in, there's focus on capitalizing the business. You'll see that quite a bit of money went into plant and infrastructure. So strategic CapEx and the usual in terms of sustaining CapEx. But there's definitely been an acceleration in CapEx to position ourselves for the future going forward. The average gold price has just been fantasy stuff still. It still, for the period was just under ZAR 1 million per kilo. At the moment, it's still north of ZAR 800,000 a kilo. So gold price is still very favorable for our industry. It's not going to last forever, though. And as a consequence, we do need to make sure that we take the right steps to position ourselves for the next down cycle as and when it comes. And we'll talk through more of that. The performance of the business also places us in a position where we could accelerate some of the rehabilitation initiatives. All the 52.5 hectares of tailings site walls and also tops of tailings were rehabilitated during the course of the 6 months. And I encourage you to have a look at our integrated report where there's some visuals on what exactly that involves. But it's important that we clear these tailings. And it's important that we vegetate them because that's part of the dust containment that we do and the water containment, managing the effluent of those tailings dams. And these are situated -- many of them are situated right in the middle of where people live. The city has, in fact, followed the mine and surrounding the mines. And as a consequence, we need to apply a different standard now in terms of dust containment, and that's where this has become so important. Total environmental spend for the 6 months was just over ZAR 50 million. And that's a trend that's likely to continue. We believe in concurrent rehabilitation, not leaving it right up until the end. So when the revenue stops, the rehabilitation must be all but completed. And increasingly, more and more of the sites that we're mining find itself in that position. Obviously, there are some sites that we've finished in the past, that finished, and we've accelerated efforts in that regard as well. We're, in fact, trucking material from, I think, 7 or 8 sites at the moment, final stages of cleanup that we managed to recommence with and, in certain instances, accelerate in the last 6 months and still doing in order to deliver into that objective of bringing about final closure on those legacy sites. So just looking at the trends over the last 18 months, you could see that the volume throughput resembles a slight dip in the second half of the previous financial year. There was the COVID period or the lockdown 5 period. But it's been restored back at Ergo to above where it was in the first half of the previous financial year. The yields also climbed back quite nicely. You'll recall with our previous presentation that in the initial start-up after lockdown 5, we were mining more of the lower-grade, high-volume sites at Ergo, the more mechanized sites. And then as a consequence, gold recoveries were slightly down. It's been restored back up again, something that you will see find its way into the recovery numbers. So increasingly, over the next few reporting periods, will be the impact of Knights scaling down. Knights is now reaching the end of its high-grade life, and it will perform a different function going forward. But at least for the 6 months up until December, that contribution was still healthy, as did Ergo. Ergo did exceptionally well in terms of plant stability and volume throughput. Production. It was slightly down on the previous first half, but nicely up on the second half of financial '20 back to 2.2 tonnes of gold for the period. At Far West Gold, operating trends, very flat in terms of tonnes, obviously, with a single site that's being treated. The business is being set up to really mine those tonnes, manage those tonnes. We do speak and/or do refer in our letter to the recoveries at Far West Gold this mining to slightly low-grade area. And as a consequence, you did see a slight dip in the recovery in the second and third decimal. The gold production was still very good, though, at north of 700 kilos, and the margin per tonne that's being maintained at the Far West Gold operations is still an exceptionally good margin. Gold price, much higher than what it was at the time when we modeled this project. And as a consequence, some of the cash that's being generated there is being withheld for future investment. Obviously, in order to mine a resource sustainably, you need to introduce the right blend to your plant. You need to manage that resource by mining it in a way that gives you the best possible chance to mine most, if not all of it. That's not possible at the moment because we are mining a fairly high-grade resource. As a consequence, in order for it to make its contribution towards the bigger project, it's necessary that we retain some of those cash flows, so we can keep that back to help fund some of the CapEx of the next stage. So then if you look at the consolidated trends, the numbers, and once again, tonnes are nicely up compared to the last 6 months. And this is so important in our business where economies of scale is really what drives the business. You've got to keep those mills full. So we're quite pleased with the way that the team managed to still get the tonnes into the plant, up on both the 2 previous reporting periods. The yields we spoke about, slightly down on lower head grades, but production touching within spitting distance of the 3 tonnes. So on the whole, considering where we were and what we had to deal with and just getting back into business, an altogether not unpleasant results operationally and, of course, very pleasant financially. Riaan, I think this is where I hand over to you.
Riaan Davel: Thank you very much, Niël. And yes, as Niël alluded to it, very, very pleasant indeed and a real privilege for me to take you through the financial results. Really proud of these results, and well done to the operational teams as Niël has alluded to, to maintain tonnes 24 hours a day, 7 days a week, 365 days a year, sounds much easier than what it actually is. So well done to the team. I will focus, obviously, on the results for the 6 months ended 31 December 2020, in comparison to the 6 months 31 December 2019. The other side of the context that Niël has provided, very stable operations. So gold sold slightly up period-on-period, but very much that increased to just over ZAR 2.2 billion in revenue of 43%, driven by the overall average rand gold price received, but very much though taking advantage of the higher gold price and under sometimes very challenging circumstances, maintaining really good gold production. On the cash operating cost side, period-on-period, up 10%. Obviously, Ergo had an impact of that up by 3%. And then we dealt with some challenging material, which required some more reagents. And then obviously, overall, just inflationary increases as well, adding to that overall 10% increase. And then operating profit up a massive 165% to ZAR 933.8 million. So the old lady as such, Ergo, showing really, really good solid results that we agree about. On the Far West Gold side, as Niël alluded to it, gold production slightly down period-on-period of gold sold as a result down by 34 kilograms, but still with the increase in gold price, revenue increased by 36% to just under ZAR 700 million. On the cash operating cost side for Far West Gold, period-on-period, up by 14% to just over ZAR 200 million. The major contributor, the milling that was in operation for the full 6 months, current period. Obviously, some of that also in the winter months. And as you know, we pay quite a significant winter tariff, an increase to the normal tariff in the 3 months of winter. I think together with other inflationary increases added to that at 14%. So both of those together with some small adjustments in gold prices, as with Ergo, led us with operating profit of just over ZAR 500 million, up 43% period-on-period. And Far west gold recovery, just to remind you, still comfortably operate at a cash operating cost of below ZAR 300,000 a kilogram. And that was some of the margin that Niël alluded to. Obviously, from the start of the project, we knew that. We knew that we're targeting, firstly, high-grade resource only. And obviously, with the added increase of the average gold price, we know that the profits and cash flow we generate here is very high, but it must contribute further to the development of the bigger Far West Gold project. Then on the group side, the beautiful trend blocks that are really enjoying presenting on the operating margin for the current period, almost 50%. Obviously, what that tells you is how we're responding from an operating cost environment, taking into account where the gold price is. So very, very healthy margin of almost 50%. On the all-in sustaining cost side, almost 40%. And Niël alluded to it, taking into account that our sustaining CapEx in this period was ZAR 131 million more, so up by 400%. In relation to the comparative period, the 40% is really a good number for us. It's a very important measure for us to make sure that we stay in business. And it's an opportunity to spend capital wisely in our ever going -- ongoing search for efficiency and even the slightest improvement in our nanotechnology recovery market. Free cash flow of just under ZAR 760 million, up 87% from the previous period. And that's a number that I just want to context -- give some context to. Obviously, assisted by the high gold price, but in this period, we also had a quite large provision of tax payments, which I will allude to on the cash flow statement. And then we also had a settlement of our 5-year long-term incentive scheme, of the last 50% of that reward, which settled now in 1 period. So we may say that in a way distorts the cash flow for that period, but despite that payment, we were able to generate just under ZAR 760 million in free cash. Also taking into account that we're not holding back on capital spend, planning for capital spend to make sure that our growth projects and expansion of both our businesses at Ergo and Far West stay on track. And then headline earnings per share, ZAR 1.11 for the 6 months ended 31 December 2020, up 129% period-on-period. Niël alluded to the headline earnings number of just under ZAR 950 million. So with that full context provided of the income statement will make sense to everyone, it was important to understand the story behind the numbers. But revenue up 41%, as Niël mentioned, as a result of gold sold overall down by 1%, but the average rand gold price increasing by 42%, so both those factors contributing to the revenue increase. Cost of sales, as we mentioned, throughput up 3%. Inflationary increases, some reagents at Ergo and also specifically in the milling cost at Far West for the full 6 months versus only the 3 months in the comparative period, explaining the overall cost of sales increase of 10%, leaving us with gross profit from operating activities up 125% period-on-period to just under ZAR 1.3 billion. Administration expense and other costs is one of poles there although it's not a key line on the income statement. I've mentioned the long-term incentive scheme. So what happens with the cash incentive scheme, it remeasures every reporting period. So in the comparative period, with a steep share price increase, we had quite a significant charge, just under ZAR 46 million. And in this period, after 30 June 2020, that time our share price peaked, just after that, but then decreased to the [Indiscernible] and actually settled those awards in November. And that decrease in liability goes to the income statement, and that's reported in that line item. Finance income, obviously, from cash in the bank, and also included in this dividend received from Rand Refinery. The finance expense was on the cash flow, most of it noncash, to do with the unwinding of the restoration or rehabilitation liabilities, slightly smaller than the prior year because of that liability also being slightly lower. And then, yes, quite a prominent feature on our income statement. And as a result of the weighted taxable profits that we're generating is the income tax line, which comprises current and deferred tax. But even with that, the profit for the period of just under ZAR 950 million, up 185% period-on-period. Then on the statement of financial position or balance sheet, which you believe it must balance, that it should, even if it's called a statement of financial position. Property, plant and equipment, very much a combination of CapEx and depreciation of that balance movement. The noncurrent investments and other assets, I just want to mention, again, at the -- that comprises mostly of Rand assets, ZAR 659 million. And again, at the same time, just remember, our liabilities as reported there is only ZAR 567.9 million. So in theory, we funded rehabilitation liability position again supporting the concurrent rehabilitation argument that Niël alluded to because we take operating cash in essence and take -- and vegetate and rehabilitate as we mine. And then the other part of that balance made up of Rand Refinery, our investment in Rand Refinery at fair value of ZAR 187 million. Cash and cash equivalents, a sizable balance and obviously contributes a very good current ratio of 4.5. I'll expand on that movement on the cash flow statement. Other current assets are very stable period-on-period. The equity balance, obviously, increases in profits and then what is still reflected in there is the share issue with Sibanye-Stillwater exercising their option in movements period-on-period. Provision for environmental rehabilitation showing a decrease. And again, that's something we manage and work on consistently to make sure that we understand those liabilities and we want to see a decrease in management in those liabilities period-on-period, which is reflected there. Yes, the tax liability is growing as also our forecast and currently reflected balances as our taxable profits grow, our deferred tax liability is increasing. Other noncurrent liability, some employee benefits and lease liabilities, and then the current liabilities, as I've mentioned, contributing to a very, very healthy current ratio of 4.5. Then statement of cash flows. The most important one, I believe, in any mining entity ships out any noncash movement. And again, what a wonderful number for us, the cash generated by operations, so more than ZAR 1 billion generated in the period, so that's up by 117% the prior year. As I've mentioned previously that settlement of 50% of a 5-year reward instrument of just under ZAR 200 million has really healthy cash generated by the operations. Cash interest and dividends received that I alluded to, you'll see the interest paid is very small as the amount in the income statement. The majority of that is a noncash movement. And the ZAR 184.6 million reflects the first provisional tax payment that we paid at the end of December 2020. This is the number Niël alluded to as well. You can see a significant increase in the property, plant and equipment, both sustaining CapEx, but also nonsustaining CapEx from the prior period. And then environmental rehabilitation payments. Again, as I've mentioned, we take cash that we generate. That's more than double than the previous period. We actually go and settle liabilities while we still mine. And that's something that we'll continue doing as part of our DNA and as part of our long-term strategy around sustainability. Then dividends, Niël alluded to that, so that's final dividend declared that we've actually now settled in cash during this period. And then as Niël said, which we'll elaborate on, we're very proud to declare ZAR 0.40 per share dividend, which then makes it the 14th consecutive financial year that DRD is able to declare a dividend. And then yes, that all movement shows a slight increase overall to just under ZAR 2.2 billion in cash on our balance sheet. Then just a last word on share price before I hand over to Niël. I've mentioned some of these movements, again, from around March, around ZAR 6 grew to almost over ZAR 29 in July. And then with the -- I think in line with the rest of the gold market. So more stability to around its current levels of around ZAR 15. But again, also a massive increase from less than 2 years ago, 18 months ago, from where the share price was. So overall, together with dividend, we believe, quite a handsome total shareholder return, if you measure it over that period. So that's my side of the financial results. Niël, I'm going to hand over back to you now.
Daniel Pretorius: Thank you, Riaan. So I think the ESG theme as a prominent investment theme is undoubtedly gaining an importance both here and internationally. Our business has been all about sustainable development now for many, many years, more than a decade, creating value at various levels of different values, creating integrated value and pursuing compelling social environmental dividends. That's very much been part of our story, over and above the fact that for 14 years we've also managed to pay a financial dividend. And this year, with the gold price having performed the way that it has and still is performing, we were in a position to channel fairly substantial resources towards this particular part of our business. You can see that just under ZAR 52 million was spent on rehabilitation again. The standard for rehabilitation has changed significantly because we are mining in the city. And it wasn't like that initially. It's become that. And in order not to be a nuisance, in order to live our mantra of improving the quality of life of those living in and around our operations, these are the steps that we've got to take. We do believe that these are the steps that all mines ought to take in order to ensure that their footprint is restored. 52 hectares of deposition -- tailings deposition were vegetated. That was mentioned earlier on as one of our highlights. And this is high-quality stuff. This is a moat that's placed on the side of the tailings. In the Crown Tailings, for instance, a cladding in -- on the part of Brakpan out in -- towards the east towards Ergo for natural vegetation to then settle. It's initially irrigated by way of potable water. So we do use quite a bit of potable water to establish vegetation. And then it's a big frustration when those get burnt down during the winter months and then we're trying to educate our communities that this is something that ought to be refrained from. Then in terms of land that's being cleared, we've approached the Nuclear Regulator to also give their clearance to release just under 27 hectares back towards sustainable use. And that's really what we want to try and achieve in terms of the land that we clear. We don't want to replace one problem with another. We don't want to take away an old mine dump only to see it invaded or used as a refuse dump or used by illegal miners to dig new holes. We really want to see that, that land is used sustainably. And if it can be used for the betterment of the communities that used to live right next to the tailings dam and they now have open space around them, even the better. So we are trying to also act as a conduit -- as an information conduit between communities and the city councils in collaborating with plans to optimize the use of those pieces of land. Socially, I'll talk a little bit more about what's been done in terms of our COVID response and then also how that network is being used to advance a more ambitious social investment project. But for purposes of governance and the governance particularly within the context of tailings management, which is an important topic nowadays, with requiring more transparency, more independent oversight and also for it to be brought into the -- under the control, the direct control of the Board, these are the steps that we've been taking. Our Tailings Review Board has been in place since 2018. They meet on a quarterly basis. And I think the quality of review that we're finding there is of the highest caliber, the recommendations that are being made, the -- some of the assurances that we're getting, I think it sets us on a good path towards good governance in terms of managing the safety, the design, the operation and the management of our tailings. Our tailings management system, the internal tailings management performance system. In the past, there was a lot of reliance simply on the say-so of service providers. And of course, it was warranted at the time because it was services that was being provided. These were services provided at the highest level, highest caliber. It's become over time necessary, though, to establish more direct line-of-sight management protocols, have internal personnel also overseeing this and reporting in parallel with the service provider into ExCo and through ExCo also into the Board. And we're quite pleased with how this has been managed and the flow of information on a daily and a weekly and a monthly basis. And then, of course, also making sure that we have a broad enough approach in terms of the monitoring of our tailings over and above drone surveillance, which has become an important part of managing our tailings, there's also the use of InSAR technology. And this is basically satellite imaging that is compared, and we could see if there's any movement taking place, so any change in the shape of the tailings dam taking place. And this too is important as part of our -- just managing the safety and the integrity of these facilities. So moving on to the next slide. Sure. We'll get there in a moment. Now there we go. ESG, social. Obviously, having been in the midst of a lockdown now for the last year, the impact that this has had on our surrounding communities has been very significant. And our Broad-based Livelihoods Programme has established a very comprehensive network in these communities, Merafong, Soweto and Ekurhuleni, which we could make use of, which we could leverage to also bring relief to. So over and above the funding that went into the Solidarity Fund, there was also -- on top of the usual social investment, there was the Impophomo program, which involves the distribution of these relief packages on an ongoing basis. Our objective, I referred briefly in my introduction to what it is that we want to try and achieve in terms of our social footprint and our social value add, so mines start and then they operate, they start with exploration, they operate, then they're supposed to close. And once they close, they're supposed to leave behind a site that's been restored. The sad reality, though, is because of the economic cycle of mining and what goes along with it and the allure of maybe getting a job in one of the many industries aligned with mining and what remains behind that, there's an influx of people and not always capacity to accommodate everybody. So one of the unfortunate realities of a mining economy is that of broken societies. And what we really want to try and do is implement systems that can outlive the mine and that also has -- that have a degree of resilience and self-sustainability. Our business did particularly well over the last year because the model has a degree of embedded resilience. The fact that it's mechanized, the fact that there's extensive use of technology, it's enabled us to continue to produce at a time when many other businesses found it very hard. Social distancing is not a big challenge for us by virtue of the fact that we are mechanized. And there have been systems that have been put in place in this business over many, many years that have enabled us. Though, they were of a more general nature in terms of risk containment and risk management, but nonetheless also enabled us to see this crisis for up until now. And we believe that we need to do something similar in terms of setting up communities for the future. It's also establishing them a degree of resilience. And that you do through knowledge. So we're very excited that we are now embarking on the next phase over and above the Broad-based Livelihoods Programme, we've spoken a little bit about the research that's being done in collaboration with the University of Pretoria to try and understand the informal economy a little bit better and see how we can bring knowledge into our communities that enable them to mobilize the social grant influx of capital into these communities on a monthly basis and to make those communities a little bit more sustainable in terms of services and consumer patterns, et cetera, et cetera. So we'll be talking a lot more about that going forward. But that is, I believe, the steps that need to be taken in order to ensure that once the mine leaves what's left behind is not a broken community, but in fact one that has taken an informal settlement and turn it into a village through their own efforts, self-empowerment through knowledge. Here's the response to COVID-19. I'm not going to spend too much time on that other than where we're currently at in terms of adjusted level 3. And what I should maybe mention in this regard is that we've not relaxed one bit on any of the protocols that we put in place in March. In fact, we anticipated the -- didn't anticipate the lockdown, but we anticipated the measures that were going to be required in terms of avoiding infection early on by implementing a 2-meter rule, which was rather discretionary at the time, with sort of based on the sticker that you find on the back of a truck to mine cyclists, and we thought, if 1.5 meters is good enough for a cyclist, then 2 meters should be good for COVID. So 2-meter rule and also the introduction of sanitation, the masks came later on. But all of the protocols in terms of screening, of monitoring and of support all of those have remained in place. And as you could see that as at the 31st of December, we had conducted 237 tests of people either through contact tracing or because of symptoms. And we've managed to actually keep the number of COVID infections down relatively low to the point where it had not been disruptive of our operations in any way. And in this regard, I think we really have to salute our staff and how they just came to the fore and fully supported this. Our staff took their own health and the health of their colleagues very seriously right from the outset, and they haven't wavered on that. They've maintained the highest standards of COVID-related hygiene and social distancing. So now in terms of looking ahead, I said at the introduction that COVID gave us an opportunity to reflect on some of the things that worked for us and that enabled us to perform the way that the business did over the last few years. And obviously, none of those measures were put in place with COVID in mind. It's just that the setup of the business is such that when this very peculiar risk came our way it was able to overcome many of its challenges. And the 2 words that really stand out here are mechanization and technology. We don't really want to use the word automation because we do want to make sure that the most intelligent part in the human-and-machine interface remains the human part. And as a consequence, we focus more on equipping well-trained people with clever tools so that they can do their job just that a little bit better. So a lot of focus is going into that. But technology and mechanization have taken us a long way, a long, long way towards overcoming many of these challenges. Over and above that, there have also been measures taken over time in terms of dealing with the weather, both drought and rainstorms, the ability now to do clean and dirty water separation on our reclamation sites, which, in fact, also just makes the final rehabilitation of those sites a little bit easier and helps us to stay on track with that. So these are measures that also enabled us through -- in addition to the challenges of COVID, also overcome some of the weather challenges. Over the last year, it's been an incessant rain and the drought earlier on. The one risk, though, that we've identified, which is probably not going to go away anytime soon and which could impact on that, let's call it, embedded resilience that has gone the wrong direction, is the supply and availability of affordable electricity. It is becoming an ever-increasing problem in mining, in our economy. And I think if you're not working on a plan to soften the impact of supply risk and cost risk at this stage, then you are compromising the future of your business to an extent. So as a consequence, quite a lot of effort will be -- will continue to go into that. And like everything else that we do, the company has grown a lot in terms of market capital, the company has grown quite a bit in terms of its footprint, but we haven't changed our thinking. We are still approaching each one of these projects on a modular and a very conservative basis, conservative and modular, trying to spend as little for as much gain as possible and maybe making a bit of a sacrifice at the other end, at the top end of the potential of the project, but not taking as much capital risk as we absolutely have to. And we do think that the model is there. It's available. We will definitely be -- start looking at implementing something in the foreseeable future in terms of both power storage particularly just to smooth out the cost impact of different tariffs over different periods of the day or to soften that impact rather and to smooth out the somewhat erratic nature of power supply, the spiking and dipping from time to time and the impact that that's having on us and then supplementing that with solar over time. There are some very good models out there currently in terms of the funding of these projects, and we're looking at all of those. We're looking at it, not just from the perspective of how much it will save and the risk impact that it has, but obviously, also the carbon footprint. Several tonnes of reduced emissions we'll be able to claim going forward. And that again slots nicely with our sustainable development or ESG narrative over time. Social risk is undoubtedly something that is also very prominent on our radar in terms of just the level of destitution, the level of helplessness that we're witnessing and that we're encountering. And as a consequence, I think it's very important that industry and the economy, for that matter, the -- those who have access and control over capital, that this is something that's brought on board increasingly. And look, our initiative is one of many. There are so many good initiatives here, but I think the -- what has become very, very clear is that we should also be realistic about just the nature, the support, the extent and the capacity outside of the private industry that is simply just not there. And maybe more and more of these initiatives should just be taken forward by capital and implemented. For the right reasons being -- we simply just cannot allow this level of hardship to endure while we're in a position to do something about it, but also in the longer term, sustainably. Anarchy is just around the corner if there are enough hungry, angry people out there that believe that they've been left behind. And we need to address that, we need to bring hope to these communities by implementing the right sort of programs. And hence, a lot of focus going into that from our perspective for the foreseeable future. And we're excited that we could use an existing network and existing footprint that's been established very ably by our social partner, Umsizi, and now bringing another participant to build on something intelligent that can take us into the future. Then something that is becoming increasingly important. It's not something that I talk a lot about, but I think it has become an important consideration, a capital investment filter, and that is the operating -- the political environment within which we're investing. Roger Baxter, I think, said earlier this month, may have been late last month, that there's ZAR 20 billion in capital projects that are ready to go. We just need the right sort of environment within which to invest. You heard the CEO of our parent company, Mr. Neal Froneman, comment on the attractiveness of South Africa relative to some of our neighbors, simply because of the policies that are being adopted or not adopted, the measures that are being taken. And I think it's important that, as part of our capital investment filter, we do look at the relative attractiveness of this environment in terms of just rule of law, the sanctity of our courts. The next week or 2, I think, is going -- are going to be interesting to see whether the courts -- whether the courts will prevail, with interesting developments taking place locally. But I think the -- so many prominent business leaders have made so many suggestions as to what is necessary in terms of security of tenure, certainty of regulatory certainty on the -- our approach to transformation, our approach to empowerment is what we're doing really effective. I heard somebody say the other day, the problem with black economic empowerment is not many black people are being empowered through it. So whilst we appreciate and acknowledge that it's such a vitally important thing to do to bring about economic empowerment, are we on the right track? Or did we somehow somewhere that we go off track a little bit? And are we pursuing something that is just not working except for a very select few and maybe necessary to start revisiting some of those policies. So we want to build our infrastructure. We want to build our business. And you could see on the screen there what it is that we're looking at, at Ergo, with expanding its life of mine, expanding its capacity over time, maybe building its reserve -- reserves at Far West Gold Recoveries. With the gold price where it is and with some of the signals coming through internationally, the prospects for gold seem to look really attractive. And we could really start pushing the boundaries of our design and our thinking in terms of design, thinking beyond our own resource. So thinking about what does that model look like that can, in fact, accommodate everything on the Far West Rand where we could have a much longer life, much broader participation and, in terms of environmental cleanup, a far more profound impact, really write the last chapter on mining, make sure that, that last bit that's been left behind when the underground mining cycle has been mined out, and how do we take those slimes and remove it off the dolomites and then take it to a place where it doesn't pose an environmental risk. Real cleanup, real sustainability. So these are the things that we can start looking at now, but one has to spend that money, one has to just moderate one's thinking in that regard also with regards to exactly how attractive are we relatively speaking. We don't have to be an unattractive jurisdiction or investment to dry up. We just have to be relatively unattractive. There will just have to be other jurisdictions that are slightly more attractive than ours. And it's really all about prioritization, where is our priority? Is our priority as a nation to attract investment? Or is our priority as a nation maybe more ideological? And I think we need to figure that out as a nation in order to start justifying what's there, what's ready, what's on the verge of coming in. And I think we definitely want to be a prominent player in that regard because we have an attractive resource. We've got a very good team. We have technologies and the system that we've developed over many, many years that can bring about very significant benefit and lots of revenue and many more jobs into this economy. And that relationship between capital investment and jobs, I think, is maybe something that we don't spend enough time talking about. But so going forward, obviously, the Sibanye-Stillwater context, I think what made the integration of DRD into the Sibanye Group as easy as it did and what's helped this relationship is the fact that I think that there's a very close alignment of values. We had a -- we shared some values before we became a member of that group. And as a consequence, now looking at where do we go next over and above the projects that we're busy with at the moment. Clearly, we also spend quite a bit of time reflecting on what role can DRD play within the broader context of the Sibanye-Stillwater strategy. And that strategy is one that's very clear. It has very distinct components. And we as a team have identified some of those components where we believe we can fit, where we can contribute. And we will continue to have conversations, and we're being encouraged and invited to have those conversations with Sibanye-Stillwater to see how we could best leverage those and develop those. We are only sort of scratching at the surface now in terms of -- literally in terms of the opportunities. And I think there's many more to come if we just do this properly, if we are just measured and intelligent, smart about how we approach this. So that's pretty much what we wanted to say. I think we're tracking nicely towards the guidance that we provided. We're tracking towards the upper end. Our cash operating costs also in line with the guidance that we gave. Obviously, with the latter part, we were in a position to spend a little bit more on some of the non-income-generating activities. We definitely spend quite a bit more on capitalizing the business and setting ourselves up so that we can take the business forward. A lot more focus or continued focus will go into that, including also the social aspect. But we are very, very pleased with the financial performance of the business, very strongly underscored by its operating performance. I did say that I will say a little bit about the dividend policy and how we're managing our cash. It's clearly a big chunk of the cash that we have was the subscription for new shares by Sibanye-Stillwater last year. That was just over ZAR 1 billion. That's being set aside. That's going to go into the development of the Far West Gold or other opportunities, for that matter, within the context of that relationship. That wasn't invested with a view of divvying it out again. It's very much part of our growth kitty to invest into those projects to optimize that which we acquired and that's been brought into DRD. And then I think I did mention earlier how we've taken some of the upside out of the Far West and also challenging that into that cash balance because that's how it will contribute towards the development of the broader project. And as a consequence, I don't think the dividend policy is overly conservative. We are tagging these. We have a very specific approach to how we manage that cash balance. It's not willy-nilly. It's not random. We haven't changed our approach. And we do hope that the market will see it in that light, in that context. This is a long haul. We want to mine the whole of this resource, and some of the cash will be required in order to do that. We will continue, though, to provide full exposure to the gold price. We're not envisaging any sort of locking in of price at this point in time. It's not necessary for us. So there's money for you to be made on either side of the cycle, depending on where you think the gold price is going to go because it will take -- in all likelihood, depend based on price observation. It will probably take our share price along with it, perhaps even at a bit of a multiple. So the investment opportunity linked to gold price performance is still there, and we're hoping that it is bolstered by the fact that this business is performing in a very stable way. It's got good prospects, and it will continue to pay dividends for as long as we're able to maintain this model. So this is pretty much what we had in mind for purposes of the presentation, and we'd be quite happy to take your questions if there was anything that we left out or did not deal with adequately. Thank you very much.
Q - Wilhelm Schoeman: And we have a question on the -- I can maybe just read out from Ed Stoddard from Business Maverick. It says, you guys did a good job of rehabilitating the dams and tailings extension [Indiscernible] and you make money from cleaning up the environmental off the map of the industry. Have you ever thought of broaden your expertise elsewhere? You set up operations in Australia, Ghana, Chile. And have you considered doing so?
Daniel Pretorius: Yes. Look, we look at operations from time to time. We don't have anything on -- anything worth mentioning at this stage on the radar just yet, but we're certainly not closing our minds to anything. We do believe that the shortcut to some of the operations outside of South Africa would be through our group association with Sibanye-Stillwater, but we're certainly not excluding that as a possibility. Something that we are working on, though, in addition to tailings treatment, is trying to see if we can establish ourselves as sort of a tailings solution, an inclusive tailings solution, in other words, the whole tailings management cycle. I may have mentioned earlier the fact that oftentimes, mines leave rehabilitation right up until the end. And more often than not, companies would sell a mine with 5 or 10 years of life left. But then in terms of rehabilitation, they've really only just contained the impact of their operations on the environment. We haven't seen any sort of concurrent rehabilitation. And I think that model is probably going to come under scrutiny, and it will be expected of corporations to demonstrate how they are keeping up the rehabilitation with the -- with also the life of mine, that it sort of finishes at the same time. And we think that when it comes to tailings management, that we could play a role in that, perhaps even as more of a service provider. So we are definitely looking at means of doing that.
Wilhelm Schoeman: Arnold Van Graan raised his hand. And we've asked him to type his question. So we'll just give him them a chance to do that.
Daniel Pretorius: Maybe to elaborate on the previous question. It really also depends on is the resource large enough because you need a very, very large resource in order to justify the CapEx and set up infrastructure, is there enough electricity, is there are enough water, is the regulatory environment conducive to it. You don't want to go to a place where it's going to take you 15 years to get a license to build a tailings dam. So all of these things play a role, are you able to link it all up? So I think the more likely scenario is probably one where we start aligning ourselves with other operations coming in as a quasi-service provider or partner in terms of rehab closure and then doing it off the back of existing operations that are coming towards the end of life. So, there we go. So could you give us a bit more guidance on your growth profile over the next 6 to 12 months? And secondly, related to that, you mentioned some additional mining -- milling costs, it that ones-off? Let me deal with the milling first. No, it's not a ones-off. Milling is now part of the circuit at Far West Gold, so that will go. And obviously, the higher winter tariffs is something that is cyclical, it only happens for that period of time. And these mills run off electricity. I did read or see that maybe that's going to be phased out. So hopefully, the higher winter tariffs thing is going to be something in the past at some point or another. It's been a bee in my bonnet for many, many years. Changes in the milling circuit, though, is that it will -- it's not finished yet, but it's going to -- it will be finished once it is a close milling circuit. So we'll have even better efficiencies then. And then in terms of the growth profile, yes, I don't know, it's pretty much what you're seeing at the moment. We don't anticipate much over the next 6 months, and then we will revisit our guidance at the end of the financial year. And if there's anything significant in that regard, then we will provide an update in terms of upgrade. Yes, I think that's it. All right. Are there any more questions?
Wilhelm Schoeman: No, that looks like it. I feel -- we have any -- nothing further.
Daniel Pretorius: Okay. All right. Well, then let me just conclude by saying thank you to all of our shareholders for your support over the last year. Hopefully, we will be worthy of that support and give you the sort of performance that you deserve to justify your support and to reward you for -- or trusting us with that part of your savings that find its way into our company's share capital. So thank you very much for dialing in and for listening to this presentation.